Operator: Welcome to the Second Quarter 2016 Gildan Activewear Earnings Conference Call. My name is Katie, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I'll now turn the call over to Sophie Argiriou, Vice President of Investor Communications. Please go ahead.
Sophie Argiriou - Vice President-Investor Communications: Thank you, Katie. Good morning, everyone, and thank you for joining us. Earlier this morning, we issued two press releases, one announcing that we have signed a definitive agreement to acquire Peds Legwear and the second release announcing our earnings results for the second quarter of 2016. We also issued our interim shareholder report, containing management's discussion and analysis, and consolidated financial statements. These documents will be filed with the Canadian securities regulatory authorities and the U.S. Securities Commission and are available on our website at www.gildan.com. With me on the call today are, Glenn Chamandy, our President and Chief Executive Officer; and Rhod Harries, our Executive Vice President and Chief Financial and Administrative Officer. Our call today will begin with Rhod taking you through our second quarter performance and our business outlook followed by a Q&A session during which Glenn and Rhod will respond to your questions. Before I turn it over to Rhod, let me remind you that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties and other factors which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company's filings with the U.S. Securities and Exchange Commission and Canadian securities regulatory authorities that may affect the company's future results. And with that, I'll turn the call over to Rhod.
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: Thank you, Sophie. Good morning, everyone, and thank you for joining the call. Today, we announced our second quarter results with adjusted net earnings essentially in line with our expectations despite sales coming in slightly below what we had expected as market conditions were mixed in the quarter. We also updated our sales and earnings guidance for the full year to reflect our Q2 performance, moderated assumptions for the balance of the year, as well as the impact of the Alstyle acquisition which closed on May 26. In addition, we also reflected in our guidance the impact of today's announcement regarding our agreement to acquire Peds Legwear, a marketer and manufacturer of branded foot apparel that primarily services U.S. retailers. This acquisition is a nice addition to our Branded Apparel business bringing complementary brands and products to our portfolio and additional platform to drive growth, which I will cover in more detail later in the call. Despite the market softness and the impact of headwinds, our strategy continues to play out well in the quarter. We continue to gain market share for the Gildan brand in the men's socks and underwear categories, and in Printwear we achieve strong unit sales volume increases in the faster-growing performance and fashion basics segments and in international markets. We also executed on our capital allocation priorities. With second quarter and July share repurchases, we completed the NCIB we initiated in February and received TSX's approval to increase the program. We also raised $600 in long-term debt at attractive rates in order to support our leverage target at one times to two times EBITDA which we communicated at the beginning of the year. Finally, we generated strong free cash flow in the quarter of $130 million. Overall, we remain well positioned from a cash flow and balance sheet perspective to support our key priorities of continuing to invest in our business, pursuing complementary acquisitions, and returning capital to shareholders. With that brief overview, let me start with the detail of our second quarter results. We reported adjusted EPS of $0.41 for the quarter, slightly below adjusted EPS of $0.42 last year. Lower Printwear pricing and the impact of headwinds in the quarter, including the exit from retailer private label business, Printwear distributor inventory destocking and foreign currency were largely offset by manufacturing cost savings and lower raw material costs as we continue to deliver stable operating margins in the quarter. Excluding the impact of 20 basis points of short-term dilution from Alstyle, consolidated operating margins of 15.5% were in line with last year's level. Consolidated sales of $689 million in the quarter, which included approximately $19.5 million from the acquisition of Alstyle, were down 3.5% over last year. The decrease in sales was due to anticipated headwinds as well as softness in the marketplace. Customer traffic at retailers, particularly within department stores and national chains, remain weak in the quarter, despite promotional activity. At the same time, we understand mass was mixed with some retailers performing better than others. In Printwear, we saw positive POS in the quarter but not as strong as expected. Printwear segment sales in the quarter of $471 million were down 1.4% compared to the second calendar quarter in 2015 and slightly below our internal expectations due to higher than anticipated distributor destocking. In addition to distributor destocking, which included the impact of distributor warehouse consolidation in the U.S., the decline in sales compared to the second quarter last year was due to lower net selling prices and the negative impact of foreign exchange. These factors more than offset positive POS growth in the U.S. and international markets and the impact from the Alstyle acquisition. Our faster-growing segments in the U.S. Printwear market performed well. We achieved double-digit unit sales growth in fashion basics and performance products, including continued strong performance from our Comfort Colors line. In addition, unit sales volumes in international Printwear markets increased by 15%. As result of lower sales, Printwear operating income of $111 million in the quarter was down 2% from the same quarter last year. Operating margins for Printwear were 23.5%, down 30 basis points compared to the same quarter in 2015. The slight decline in margins resulted from the dilutive impact of the Alstyle acquisition. This dilution will be transitional as we expect the benefit from integration synergies starting next year. The Alstyle integration is off to a good start and we feel confident that we will be able to achieve strong manufacturing and supply chain synergies as the operations are integrated into our Printwear business. This includes incorporating our textile manufacturing practices and processes, and increasing capacity utilization at Alstyle's large Mexican facility. Excluding the acquisition of Alstyle, operating margins in the quarter were up 30 basis points to 24.1%. The combination of lower raw material and other input costs and manufacturing cost savings more than offset the impact of lower volumes and net selling prices, and the negative impact of foreign currency exchange rates. Branded Apparel sales of $218 million were down 8% compared to the same quarter last year. The decline reflected the impact from the planned exit of $65 million in private label programs in 2016 which we have previously highlighted. It also reflected lower sales in the department store and national chains channel and higher promotional spending in the quarter. Turning to the positives. We continue to be pleased with the market share performance of the Gildan brand this quarter. According to NPD's Retail Tracking Service, our unit market share for Gildan branded men's underwear increased to approximately 9% at the end of June. During the quarter, we started to see better in-store positioning for our men's underwear programs, which we believe will continue to drive further market share gains for the Gildan brand in this category. And, overall, we feel we are tracking well to achieve our initial men's underwear market share target of 10% this year. We were also very pleased to see that NPD confirmed that the unit market share for Gildan branded men's socks at the end of the June quarter was approximately 22%, making Gildan the number one brand in this category. Operating income in Branded Apparel of $17 million was down just over $2 million in the quarter compared to last year due mainly to lower sales. Although Branded Apparel operating margins of 7.8% improved sequentially by 40 basis points from the first quarter of this year, operating margins were down 40 basis points over the prior-year period, primarily as a result of lower sales including higher promotional spending, partly offset by the benefit of lower raw material and other input costs and manufacturing cost savings. Moving to Gildan's strong cash flow performance. We generated $130 million of free cash flow in the quarter, about $110 million higher than last year. The increase was due to lower capital expenditures as our spending on yarn spinning winds down with our last (9:25) facility, Mocksville, now ramping up. We also generated cash from working capital during the quarter from the sales of approximately $47 million of trade receivables. These were high-quality receivables which are not efficient to carry on our balance sheet and which were sold under a new $100 million receivables facility. We ended the quarter with cash and cash equivalents of $55 million and outstanding debt of $738 million. The company's net debt leverage ratio at the end of the quarter was 1.3 times adjusted EBITDA. During the quarter, we repurchased 5.2 million common shares and another 1.7 million in the month of July, completing our 12.2 million shares repurchase program initiated in February. Today, we are announcing that we received approvals from the TSX to amend our normal course issuer bid program and increase it from its initial size of 12.2 million shares to approximately 20.7 million common shares or 8.5% of the shares issued and outstanding as at February 19, 2016, the reference date of the NCIB. With our strong free cash flow and our balance sheet capacity, we believe we are well positioned to drive organic growth, pursue complementary acquisitions, while at the same time returning capital to shareholders. As communicated in February, we set a target net debt leverage ratio of 1.0 to 2.0 times EBITDA, which we believe will provide us with a strong and efficient capital structure. In support of this objective, we raised $600 million of long-term debt during and shortly after the quarter. Of the $600 million, $300 million was in the form of an unsecured five-year term loan and yesterday we closed a $300 million 7- and 10-year private notes offering in the U.S. private placement market. Proceeds from the notes are expected to be received during the latter part of August and will be used to repay drawings under our revolving credit facilities and for general corporate purposes. Now let me cover the acquisition of Peds, which we announced today. Peds manufactures and sells socks, sheer hosiery, and legwear products, including no-show liners under the Peds brand. It also sells wellness hosiery under the MediPeds brand in the U.S. and Canadian retail markets. The company currently generates annual sales of approximately $80 million and the acquisition further enhances Gildan's product and brand portfolio, particularly in the ladies and the therapeutic hosiery categories. The acquisition offers a number of growth opportunities. By leveraging Gildan's distribution within the U.S. retail market there is opportunity to expand Peds current customer base and product sales for the Peds and MediPeds brands. At the same time, we also see the potential to expand these brands into other product categories manufactured by Gildan. Finally, the acquisition provides us with broader access into the footwear channel. We see this acquisition as a good complementary addition to our Branded Apparel business, which we can integrate easily into our operations. Moving to guidance. We have narrowed our earnings guidance and are now projecting full year adjusted EPS for 2016 to be in the range of $1.50 to $1.55, compared to our initial EPS range of $1.50 to $1.60. We are now forecasting adjusted EBITDA of approximately $545 million to $555 million compared to the company's previous projection of $545 million to $570 million. Consolidated sales for the year are now projected to be approximately $2.65 billion, compared to our previous forecast of sales in excess of $2.6 billion. Printwear sales are now projected to be approximately $1.65 billion, up from our previous guidance of sales in excess of $1.6 billion, and Branded Apparel sales for 2016 are expected to be approximately $1 billion, compared to our previous guidance of Branded Apparel sales in excess of $1 billion. We updated our full-year guidance to reflect sales performance in the second quarter, moderated sales assumptions for the remainder of the year in light of current softer market conditions and the impact of the acquisitions. We are currently expecting lower than previously projected sales of fleece in Printwear in the third quarter. While our peak selling season for fleece occurs in the third quarter of the calendar year, the level of fleece pre-order bookings by the end of June have been below what we typically expect for the end of the second quarter. In addition, in the context of the current softness in the retail marketplace, we felt it prudent to temper our Branded Apparel sales outlook for the second half of the year. Despite current market conditions, we do, however, feel we are well-positioned to deliver on strong sales growth in Branded Apparel in the second half of the year. We expect to benefit from shelf space gains and new retail program shipments, while the impact from the exit of private label programs will subside in the second half of the year. We also incorporated in our projections the sales and earnings impact of the acquisitions of Alstyle and Peds. We are forecasting a sales contribution of approximately $115 million for the year, although we expect the EPS impact from the acquisitions to be minimal in 2016. Having progressed on our acquisition integration plans, we are confident that we can generate strong integration synergies from these transactions which are expected to flow through in 2017 and 2018, and which will reach an EPS accretion exit run rate of more than $0.13 by the end of 2018. We also adjusted our estimates for capital expenditures for the year. We now expect CapEx for the full year in the range of $150 million to $175 million, compared to our previous projection of approximately $200 million. In light of the large textile facility in Mexico, which we acquired as part of the Alstyle acquisition, we believe we can add the required capacity support growth with lower CapEx. At the time of acquiring Alstyle, the facility in Mexico was running at about one-third of its potential capacity. We are currently increasing capacity utilization at this facility. And we have the capability for significant further capacity expansion at the facility, which will be dedicated to basics textile production. With this increased flexibility, we are proceeding with the development of the Rio Nance 6 facility; however, start of operations at the facility is now targeted to begin in the second quarter of 2017. Overall, we continue to expect our capacity expansion plans to provide production capacity to support up to a billion dollars in incremental revenue over the next three to five years. So just to wrap up, while current market conditions are not what we would like them to be, we believe we are making the appropriate adjustments in our business and to our 2016 projections. Further, we are pleased with how our strategy is unfolding. Gildan market share penetration at retail is building momentum and we feel we are well-positioned to achieve strong Branded Apparel sales growth in the second half of the year. In Printwear, we are continuing to drive further market share penetration in the faster-growing product segments and in international markets. We are executing on our capacity expansion plans in a more cost effective and efficient manner to drive higher returns on incremental capital invested. And we are generating strong cash flow and using our balance sheet efficiently to support all of our capital allocation priorities. Although we've not provided guidance for 2017, we believe the outlook for strong earnings growth remains promising. In 2017, we expect the benefit from volume growth in both operating segments and continued expansion of Branded Apparel operating margins. In addition, the benefits of the acquisitions we have made this year will start to flow-through as we execute on our integration plans and drive synergies. Lastly, we expect to continue to generate significant manufacturing cost savings from our capital investments in yarn spinning and other capital projects, and benefit from the non-recurrence of some of the headwinds we are managing through in the current year. So, in short, we continue to be excited about our outlook. This concludes our formal remarks today and I will now turn the call back over to Sophie.
Sophie Argiriou - Vice President-Investor Communications: Thank you, Rhod. Before we move to the Q&A section, I ask that you limit the number of questions to two in order to give everyone the opportunity to ask a question. If time permits, we'll circle back for a second round of questions. Operator, we are now ready to take questions at this time.
Operator: Thank you. And our first question comes from Sabahat Khan from RBC Capital Markets. Please go ahead.
Sabahat Khan - RBC Capital Markets: Thanks. Can you maybe talk about where (18:20) in the U.S. basics channel in terms of your calling out lower fleece sales; how are the basic T-shirts doing and what's the overall outlook for the rest of year?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, in Printwear, we basically, the markets – we've got a pretty good POS, or okay POS in general in the channel, could be stronger obviously, but what's really doing well for us is all of our fashion basics, our performance, our Comfort Colors which are growing at the rate of 20% and our international business we've seen POS around 20% as well. Where we see a little bit of negativity is in our larger national accounts area where they serve as big retailers, I mean that business which is mostly basic products is a little weaker than we anticipated but overall we still have positive momentum in Printwear. And as far as the fleece is concerned, the way typically we drive our fleece in Printwear is that we have two big shipping periods and the second period of shipping is in Q3 which we obtain orders and pre-books for fleece in the second quarter. And based on those pre-books, we – obviously they didn't come in as strong as we anticipated. So we're prudent. We think we have the inventory to support more sales. We think that people got caught with inventory because of the weather last year but, if it gets cold, we could see some of this coming back in Q4 which we haven't anticipated in our guidance, but to be prudent based on what we see, we've tapered our expectations in Q3.
Sabahat Khan - RBC Capital Markets: Okay. Thanks. And on the acquisition that you announced this morning, can you maybe talk about the margin profile of that business? And you obviously got a manufacturing facility with that, but is there opportunity maybe to consolidate production with your prior Doris acquisition given it's a similar business line?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, we haven't finalized all of our integration plans and the plant that they have in the U.S. is very small. It produces made in U.S.A product specifically for dedicated programs for one of their retailers. The margin expectations are similar to, I think, the overall sock environment. We think that this is premium brand. It gives us, obviously, a big benefit in terms of new products that we're not currently selling in terms of the no-show liners. They have a really great positioning in the wellness category with the MediPeds, which is growing quite rapidly. So, overall, look, like it's not a large acquisition but it definitely fits like a glove for us in terms of allowing us to continue to have more growth and to lever what we have in terms of our products and our customer base. And, more importantly, it's a sales base for growth for next year and we expect not only from Peds but as well as from Alstyle $0.13 of accretion as we go forward. So we got good returns on investment capital for both of these acquisitions.
Sabahat Khan - RBC Capital Markets: Thank you.
Operator: And our next question comes from Mark Petrie from CIBC. Please go ahead.
Mark Petrie - CIBC World Markets, Inc.: Yeah, good morning. I wonder if you could just circle back and talk about the retail trends by channel and then an update on your outlook for new programs over the next 12 months?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Okay, well, great. Well, look, I mean like Rhod said in his comments, things are soft overall. We see worse conditions in department and specialty channels with more promotional environment. Mass is okay, but the thing is we're doing well. I think we're well-positioned. I think the most important thing to point out here is that our Gildan brand continues to perform very well, and continuing to gain market share. Our underwear share at just under 9% and heading towards our target of 10%, we think we'll be there pretty early in Q3. We've got a lot of momentum. Our sales are strong and we're well-positioned. Our socks basically, Gildan brand is now become the number one brand in men's socks with 22% share. So, really what we're driving is our Gildan share. The softness is everywhere. I mean the thing is that it's not just one area of weakness basically or in one brand, I mean it's just split out a little bit everywhere. So, a little – a lot of little things come up to be where we've tapered our expectations a bit. But I think we're very excited about our positioning and we're well-positioned. And as we go into 2017, I think we're well-positioned there as well. I mean, if you look at the – just starting off with the acquisitions that we, the balance of sales on a full annualized basis will add about $130 million in sales revenue in 2017. The space gains from 2016 on an annualized basis will add another $60 million in Branded. We're definitely getting on negotiating new programs in our Branded category and we're not going to have the recurrence of the divesting of the private label which affected us in 2016. Our Printwear business will continue to grow next year and fashion and all the international markets. We have a lot of cost savings coming in 2017 which is the balance we committed to the market of the $100 million, which is approximately $30 million. And another thing to be positive in 2017, we're seeing higher cost, input cost in terms of raw material, which would allow us to, I would say, that eventually we'll see some less price pressure, let's say, for example in both segments of our Printwear and Branded as we see higher input costs for us as well as the industry. We definitely have ample capacity to support additional growth with the expansion of an acquisition of Alstyle as well as Rio Nance 6 coming on. And we will continue to use our balance sheet effectively and to acquire or look at other complementary acquisitions. So all these together I think for 2017 we feel we're really well positioned to have a great year.
Mark Petrie - CIBC World Markets, Inc.: Okay, thanks. That's helpful. And then just to follow-up on your comments with regards to capacity, could you just give us a bit of an update in terms of what your expectations are in terms of ramping up volume throughput through the Mexico facility that came with Alstyle? And then what you expect sort of run rate for Rio Nance 6 by the end of 2017?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Okay. Well, let me just put things in perspective for you. So, look, this Alstyle acquisition we think is a great opportunity for us. The fact is, is that the plant was running at one-third of its optimal capacity. We've already in the process of increasing capacity and, by the end of the third quarter, the plant will be running at 50% greater capacity than the time that we purchased it and will be running at cost structure similar to our Honduras facility. So that's the first thing. So everything that we originally hadn't planned for Rio Nance 6 in terms of its ramp-up of capacity, will be installed – that capacity will be installed already in the Mexico facility running at a cost structure that will support 2017 and it's going to come in without any negative manufacturing efficiencies, because the plant is already running and being ramped up. So that's a benefit for us in 2017. So we're still proceeding with Alstyle – sorry, with Rio Nance 6, but it's going to start in the second half of – or in the second quarter of 2016 and it is going to support as we go forward really in 2018, that's the way to look at it. Now we have capacity in Rio Nance 6 for 2018, but we also can continue to grow our Mexican facility. So capacity is just not an issue for us. The other thing is, is that we're also prudent in terms of managing our cost – our capital structure and, with the increase in capacity, it's obviously short-term coming in at a lower cost base. And, ultimately, the most important thing I think from the markets perspective is, is that we're still increasing our capacity and have available capacity to support over $1 billion in sales excluding the Costa Rica opportunity that we will have as we look forward into Costa Rica. So there are no issues with capacity as we go forward. I mean, for us, I mean our focus is going to be obviously to continue driving top-line sales and our overall strategy.
Mark Petrie - CIBC World Markets, Inc.: Okay. That's very helpful. Thank you.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from David Hartley from Credit Suisse. Please go ahead.
David Hartley - Credit Suisse Securities (Canada), Inc: Sorry, good morning. Good morning. Sorry, I was on mute. Thanks for taking my question. I had just a question on sales placement. Could you give us a little bit more color on linear footage and things of that nature, wells (27:49) and drops in-store and what you see it going to or where it's at now?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, look, I really don't want to get into specifics, but I would say to you is that the big factor in terms of driving our underwear as well as our sock share is typically better placement with our retailers. And that was big push for us in terms of 2016 is to make sure that we've got better placement amongst our retailers, which is really driving better placement and more shelf space obviously, but the placement combined with the shelf space is what's driving our success in both underwear and socks. So I think we're well-positioned. Like we said earlier, we've got new programs this year, about $130 million in the beginning of the year, $70 million flowing through this year, $60 million going into next year. So everything is intact, with the only caveat is that we're seeing just broader overall weakness, I would say, particularly in the department stores and specialty channels. But, I mean, things are in place as we laid out in the beginning of year.
David Hartley - Credit Suisse Securities (Canada), Inc: Okay, thanks. And on the Gold Toe brand, we haven't talked about this. I don't think it was (29:02). Can you talk a little bit about some of the metrics there in terms of sales and I'm noticing a lot more Gildan brand placement as you referenced earlier. Are you transitioning any of the Gold Toe brand into Gildan? Has there been any kind of changes in placement there?
Glenn J. Chamandy - President, Chief Executive Officer & Director: No. I mean, look, we're still the number one brand in Gold Toe, so we've got a great positioning. But we're number one brand in the market which is probably the softer segment, let's say, for example, of our portfolio. So we're still doing very well. We're growing the brand. We're going the product in terms of its distribution. So we think that we're well-positioned. I mean, the only, I think, headwind there a little bit is the overall environment in that category.
David Hartley - Credit Suisse Securities (Canada), Inc: And are you still looking at extending that brand, like, I believe you had some performance wear, GT, T-shirts, underwear, how is that going and where are you at with that?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yeah, well, it's going okay. I mean, look, we're continuing to lever the success and the heritage of the brand. It's got an 80-year heritage. It's well received, and we're maintaining our positioning and so it's continuing to do well for us. It's not going to have the growth rate as Gildan. I mean, really when you look at the opportunity for us is that obviously our Gildan brand strategy is going to grow at sequentially way faster. It's in the mass. It's in a price point category. So that's why – that's where our growth engine will be in terms of really driving top-line sales, I would say. You really want to look at it that way.
David Hartley - Credit Suisse Securities (Canada), Inc: And just for clarity, the Gildan brand, does that include the Gold Toe brand in terms of that market share you mentioned?
Glenn J. Chamandy - President, Chief Executive Officer & Director: No. That's strictly a Gildan brand, 22% in the men's category.
David Hartley - Credit Suisse Securities (Canada), Inc: What would Gold Toe represent in terms of market share then?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Gold Toe is 22%, but in the department and national chain, but in overall Gold Toe is – I don't know, I have to check it. We'll get back to you on that.
David Hartley - Credit Suisse Securities (Canada), Inc: Okay. Thanks.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thanks.
Operator: And our next question comes from Martin Landry from GMP Securities. Please go ahead.
Martin Landry - GMP Securities LP: Good morning. I was wondering if you could talk about your online sales. Give us some color on the trends there? And also, if you can comment maybe also on your online partners like Amazon, how that's playing out for you guys?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, obviously, like it's definitely a growth opportunity for us. Online represents about 5% of our revenues in Branded today and is growing pretty quickly. So we're putting a lot of emphasis, resources, and money behind making sure that we continue to grow with all of our retail partners online as well as developing obviously our own platform. So it's something that's definitely a growth; it's coming off a small base, but it's definitely a growth opportunity for us.
Martin Landry - GMP Securities LP: And that 5%, does that include Amazon?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yeah, that's Amazon and all of our retailer online.
Martin Landry - GMP Securities LP: Okay. Okay. And just on the Alstyle acquisition, I believe you mentioned that Mexico has a free-trade access to South America. Is there an intention for you guys to penetrate that region down the road? And also if you can touch a little bit about accessing the mass retailers in Mexico?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, exactly. Well, look it, I mean, what we said in our last call is that the real focus for Alstyle is a couple of things. One is that their presence in the existing printwear market is primarily located in the West Coast, which is an area where we think we can still grow and it gives us a base of opportunity in a segment even within printwear that we have very little penetration. So that's the first thing. Second thing is, is that with the supply chain from Mexico, now we can incorporate all of the products that we have in our U.S. product line into the Mexican market will allow us to expand Mexico because we are limited on our product availability to go into the Mexican market for printwear. Those same products can be sold in those South American markets that have now opened up that have free-trade or trade agreements with Mexico, but also it gives us the ability to supply even some of these products into Canada, believe it or not, that are NAFTA friendly to allow screen printers in Canada to support product on both sides of the border. And then the last piece is, is that it gives us an opportunity obviously to support retail initiatives in Mexico. We have zero sales in the Mexican market in terms of retail and that's something that we'll definitely look into as we go forward and we build in the capacity to support our future growth. So, it's really strategic I think in terms of driving top-line sales, but at the same time, what we're really excited about at the same time is the cost structure and the available capacity in the cost of that capacity coming online in terms of what we're doing in the manufacturing. So all of this together, this has been a really great acquisition for us, and we're really excited about the future.
Martin Landry - GMP Securities LP: Okay. Thank you.
Operator: And our next question comes from Kenric Tyghe from Raymond James. Please go ahead.
Kenric Tyghe - Raymond James Ltd. (Broker): Thank you. Good morning. Glenn, I just wanted to touch on the pricing dynamic given the recent move in cotton. Would it be fair to say that the recent move in cotton is at a minimum supportive of current prices? And if it were to stick, looking to 2017, it should be not just supportive of current prices but perhaps supportive of price increases versus the price decreases that we've seen over the last couple of quarters, is that a reasonable characterization?
Glenn J. Chamandy - President, Chief Executive Officer & Director: I would say, it's – I would characterize is if cotton stays at these prices, definitely it would be supportive of price increases. Just to put things in perspective, every $0.01 the pound is $0.02 of EPS, right, so cotton has moved from $0.60 to $0.73, $0.74 a pound, so it's quite a big move. I mean, it's substantial. And the other part of it is that it's not just obviously the price of cotton, it's also the physical cost of buying it, which has increased as well. So, definitely, if cotton remains at these levels, there'll be price pressure in 2017.
Kenric Tyghe - Raymond James Ltd. (Broker): And obviously, Glenn, you're well-positioned in terms of those movements and necessarily you've always commented on the balance within that market, so I mean fair to assume that looking to that that would provide some relief across your businesses, I mean that's a reasonable assumption as well?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yeah.
Kenric Tyghe - Raymond James Ltd. (Broker): Great. I'll leave it there. Thanks very much.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thanks.
Operator: And our next question comes from Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen MacLeod - BMO Capital Markets (Canada): Thank you. Good morning.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Good morning.
Stephen MacLeod - BMO Capital Markets (Canada): I just wanted to focus in a little bit on the Printwear business. You mentioned some inventory destocking from consolidation of customers. Would you say that most of that is behind you? Or do you still see some of that continuing in the back half of the year?
Glenn J. Chamandy - President, Chief Executive Officer & Director: I would say that most of it is behind us. There might be a little bit more in this quarter, but most of it's behind us.
Stephen MacLeod - BMO Capital Markets (Canada): Okay. And can you just talk a little bit about what the pricing dynamic, what you're seeing in the Printwear business domestically?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Pricing is pretty stable. I mean it's probably more stable than it's been in a long time. So it's just a question of not gangbuster POS, but I think the areas that are doing well are the fashion segment of our market, our fashion basics, Comfort Colors, performance and our international business, particularly Europe, to be honest with you, is performing very well. So I think that's just the overall dynamics, but pricing is very stable.
Stephen MacLeod - BMO Capital Markets (Canada): Okay. That's great. Thank you. And then just finally, can you give a little bit of color around what you expect to see in terms of the cadence of EPS in the back half of the year? Are you still looking for kind of Q4 to be the strongest growth period as those new retail programs come online?
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: Yeah, Stephen, it's Rhod. Yeah, that's the way we're seeing the Q3, Q4 unfold. So as we talked about, we've got – Glenn – and in my comments, we talked about the fleece, what we're seeing there, and we know that that will impact Q3 with the softness in the retail side. And so when you look at the general cadence of the way that the back half will unfold, we will see the strength more back ended in the fourth quarter.
Stephen MacLeod - BMO Capital Markets (Canada): Okay. Okay, that's great. Thank you.
Operator: And our next question comes from Derek Dley from Canaccord Genuity. Please go ahead.
Derek Dley - Canaccord Genuity Corp.: Yeah, hi, guys. I was just wondering, as it relates to the acquisition you announced this morning, are there any new retail relationships that you may be getting here from Peds whether it be some cross-selling opportunity? We've seen you guys do this in the past with Doris and in some of the other and Gold Toe, for example. Any potential for that going forward?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yeah, exactly. Look, I mean, I think there's two potentials. One is that they don't have the reach or didn't have the reach of all the existing Gildan customers that we're currently selling to. So we've actually think that there's opportunity to expand their brand, particularly in e-commerce area and other channels that we can move the brand is well-positioned for. At the same time, they're big footwear business and footwear channel, which we don't have a lot of penetration. And the third thing I think is for us is that, look, there's definitely room for category expansion here, in terms of driving their brands and putting some other product categories that we currently manufacture. So, we think there's good synergies from the top-line side and to continue the growth of the brand and will help the overall portfolio of everything that Gildan is selling to its customers.
Derek Dley - Canaccord Genuity Corp.: Okay. That's helpful. And just touching on the inventory destocking, I mean we've seen this now for well over a year, should we be expecting this to relent at some point. Can you maybe just explain what the dynamics are there?
Glenn J. Chamandy - President, Chief Executive Officer & Director: The destocking you're talking in the Printwear channel?
Derek Dley - Canaccord Genuity Corp.: Yes.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, some of that has to do with distributor consolidation of warehouses. And that as I said (40:31) in my last comment will subside basically most of its climb (40:35), but there'll be some of it in Q3 which we've now forecasted.
Derek Dley - Canaccord Genuity Corp.: Perfect. Thank you very much.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Vishal Shreedhar from National Bank. Please go ahead.
Vishal Shreedhar - National Bank Financial, Inc. (Broker): Hi. Thanks for taking my questions. Just on the buyback here, you indicate that you amended the buyback higher. I wanted to get your thoughts on how you buy back stock? For example, is valuation a consideration, is outlook a consideration, or is it more of an automatic program?
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: Well, Vishal, I think when we look at buying back stock, what we're doing is effectively working within our broader leverage target that we've set one times to two times. And we're also focusing on shareholder returns or ultimately driving shareholder value. So it's the combination of those two things that is effectively driving the actions that we're taking on the on the buyback front. And we've obviously been active with the first part of our buyback and as we go forward we'll use those guidelines really to drive as we think about buying back stock.
Vishal Shreedhar - National Bank Financial, Inc. (Broker): Okay. Thanks for that. And just on the U.S. Printwear segment and actually the broader Branded segment as well, relating to cotton, so as you cycle through your current cotton that you've purchased in advance and you look towards raising prices. Does the current soft backdrop restrict your ability to raise prices to some degree, just any color you can provide on that?
Glenn J. Chamandy - President, Chief Executive Officer & Director: I would say that typically prices go up before the cost gets passed through and typically prices go down before, like, which as you see in the last cycle as cotton has come down. So, to be honest with you, we won't wait until, if cotton stays at these levels, we wouldn't wait for all of our cotton to flush through basically before we raise prices, that's maybe just a way of looking at it.
Vishal Shreedhar - National Bank Financial, Inc. (Broker): Okay. And does your – the amount of capacity you have coming on stream also give you pause on raising prices, just given that you want to drive the units through those facilities?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, look, I think that we wanted to drive units for our facilities because we think that we're going to sell and gain more market share in the products that we're selling. So we already the price leader in every single category in which Gildan sells, so price is really not a factor, it's more a function of making sure we have capacity to support the opportunity and I think that's sort of been our Achilles' heel since day one. This is probably going to be a changing point because we're finally going to have ample capacity with the Alstyle acquisition and the ramp-up of Rio Nance 6 really to take advantage to increase our market share. We don't need to do it with price because if you go and do any research in retail or in printwear, I mean we are the price leader basically as we speak today. And not only we're the price leader, but we're the value leader constantly selling the best quality product at the best price. And we're also going to use a lot of this capacity for new product opportunities we're expanding in our fashion basics, we're going to be expanding in our performance. One of the big initiatives in our CapEx for 2016 is we're expanding the capacity of our Comfort Colors availability which has been hindering our sales there. So we're continuing to invest in product technology and we'll see how it goes in 2017.
Vishal Shreedhar - National Bank Financial, Inc. (Broker): Okay. And just lastly, my understanding is that there's certain contract periods to when you negotiate with these large retailers, how many of these periods are there in a year and when's the next one coming up?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, typically, there's two periods in a year, but I would say that the cotton impact in retail is not as significant as it is in the Printwear business because when you look at a sock, how much cotton does it take to make a sock? I mean, not a lot, right. And underwear, basically bottoms is also not a big huge driver of material. So when you get into the Printwear business, you have basically a larger consumption of overall cotton and in that segment prices can go up anytime you (45:04) want. In fact, our customers enjoy price increases believe it or not.
Vishal Shreedhar - National Bank Financial, Inc. (Broker): Okay. Thanks for your comments.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Andrew Burns from D. A. Davidson. Please go ahead.
Andrew S. Burns - D. A. Davidson & Co.: Thanks. Good morning. Looking at the softness in the fleece wear pre-order this season, could you give a little more color in terms of the underlying dynamics there? Does it reflect the current inventory levels on hand in your opinion or distributors tempering their sell-through outlook or anything else from a competitive or product standpoint to call out?
Glenn J. Chamandy - President, Chief Executive Officer & Director: No. I would say that, look, what happened was is that, at the end of Q4 last year, inventories in fleece in general were higher because of the warm weather. That inventory got worked through in Q1, basically and so that affected some of our mix in Q1 in terms of our mix and our volumes in Q1, which we've reflected obviously in our guidance in the beginning of the year. And what's happened is that, as we go through into – so the inventories were in good shape, and then as we go through and looking into 2017, the first wave of orders were on line of our expectations, and the second big wave of orders for fleece, which usually sells in Q3, were below our expectations. So we think that POS is okay in fleece, like it is in general. So there's no reason for the pre-books to be lower than our POS. But I think we think that customers are basically being careful because they don't want to go in that same (46:47) of carrying that inventory again, and buying more than they need, depending on – and now that the weather breaks and obviously we have a good cold fall, we probably will make up a lot of that business in Q4, which we haven't not included in our guidance, but we can only include what we see and we just wanted to be prudent and that's where we stand today. So we have the inventory available to support more sales. The question is what will happen and we'll see what happens as this thing unfolds.
Andrew S. Burns - D. A. Davidson & Co.: Thanks. And just a follow-up on the Peds acquisition, you combining it with stores you have a broad range of brands there. Do you see any potential consolidation of brand strategies? And then also looking past the clear benefits from category and distribution expansion opportunities, could you maybe refresh our view on legwear and hosiery and why that's attractive to Gildan, whether it's organic growth manufacturing leadership, anything to call out there that would be great?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, look, I mean, they – just to give an example, they sell sheer into mass in the United States, but they don't actually make that sheer, they source it. So that's an area where we're going to be able to manufacture the products at a better quality, look at opportunities for us to grow. So, the products that they – a lot of the products that is currently being sold by Peds is sourced, so those were – that's an area of opportunity for us as we integrate some of these products into our manufacturing. So, at the same time, we think that the brand has legs in terms of category expansion, but within the markets they're currently selling. So there's a lot of opportunity here and it fits well into our portfolio, it doesn't conflict with any other Gildan brands. So, we think we're well positioned, that's why we bought the company. And it fits very easily into our organization.
Andrew S. Burns - D. A. Davidson & Co.: Thanks and good luck.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Jim Duffy from Stifel. Please go ahead.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Good morning.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Rhod, a question for you. With the lower than planned volumes, is there utilization hit to absorb in the margin or do you expect inventory to build as the year progresses?
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: I mean I think one of the stories that I think we feel very good about for this year is that when you look at our margins, you look at our operating margin, we came into the year saying that Printwear operating margins would be basically stable in line with last year, and we saw progression in Branded. And we still very much see that as the year unfolds, Jim. So I think when you look overall from a margin perspective, I mean gross margin I think is a very good story for us. So I think we're very comfortable with how the margin story is unfolding.
Glenn J. Chamandy - President, Chief Executive Officer & Director: And also one of the things I think, just to add to that, is we're benefiting from our cost reductions and which are continuing to benefit the margins as well.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. A question on the Branded side, you, Glenn, mentioned the broader overall weakness in the channels. You've referenced the NPD market share data. What does that data say about volumes for the category? And what's the state of retailer inventory positions in some of those more troubled channels?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, the department and specialty and national chains, I mean, the volumes are down. In mass, the categories are either flat or slightly up, I would say. And that's maybe a good way to look at it.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. And then last one, if I may? How much of this $65 million private label headwind for the year has been absorbed through the second quarter? And how much is remaining for the second half? And how do you see that splitting across quarter?
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: So, Jim, I think we'd say two-thirds of it has been absorbed in the first half, and you let the remaining third will effectively flow-through the back half sort of half-and-half between Q3 and Q4.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Thank you.
Operator: And our next question comes from Keith Howlett from Desjardins Securities. Please go ahead.
Keith Edward Howlett - Desjardins Securities, Inc.: Yes, I had a question about the promotional products industry. I wonder if you can speak to whether they are equal buyers of fashion basics and performance wear or whether there's a channel shift as your sales move towards the fashion basics and performance.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, I mean, the overall market basically is broken up into three categories we call it, like, basics, fashion basics, and performance really is how we look at it. Obviously, the basics segment is the largest. And the fastest-growing today in the market is what we'd say the fashion basics, and that's the part of our business which is growing the fastest as well within the Printwear channel. But it's really all going to the same end users, let's say, for example, or the same channel as we defined. So it's still us growing, but it's going on a smaller base basically relative to the basics.
Keith Edward Howlett - Desjardins Securities, Inc.: And is there a price uplift as per unit, so to speak, I presume...
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yeah, that's a good point. I mean, look, these items sell for higher price points than you would see in basic product apparel.
Keith Edward Howlett - Desjardins Securities, Inc.: And I just had a question on the market, in Asia, is the promotional products industry similar in its structure, say, in China? Or is it a different usage of the product in China than in the U.S.?
Glenn J. Chamandy - President, Chief Executive Officer & Director: No, it's exactly the same. I mean, I think that every one of the markets in which we sell our products through the Printwear channel are relatively the same in scope. The only difference is, is that the scale of some of the markets aren't like the U.S., you know what I mean? And that's – and maybe a little bit more fragmented and – or maybe not developed as much. So, Europe, for example, is more developed, but still fragmented. And China is just in the development stage of growth really. But at the end of the day, if you look at what people use T-shirts for, souvenir, travel, tourism, sports, corporate events, I mean, so these things happen everywhere in the world. So that's why it's really relatively the same everywhere. And it's just a function of – Coca-Cola sells in every country in the world, right, and to give you an example, they promote T-shirts, right. So that's maybe a way to look at it.
Keith Edward Howlett - Desjardins Securities, Inc.: Thank you.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Thank you.
Operator: And our next question comes from Anthony Zicha from Scotiabank. Please go ahead.
Anthony Zicha - Scotia Capital, Inc. (Broker): Glenn, when can we expect Gildan to enter the retail activewear market? And how big of that is an opportunity for Gildan?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, it's obviously a big opportunity for us. When? I can't obviously tell you today, right. But, look it, our focus is we've got a pretty good business already in activewear. We have a substantial amount of customers, particularly in the craft channel and as well as in a lot of the specialty stores. So we're continuing to plug away. We have also a big activewear business in some of the dollar chains. So we have a substantial size of activewear. I mean, obviously, we think it can grow. It's the roots of the company, and it could be meaningful as we go forward in the future. But it's still got a lot of growth opportunity for us. I mean, obviously, we don't have the same type of share as we do in socks and objectively as we want to have the same share in underwear as we continue to grow and as well as in activewear.
Anthony Zicha - Scotia Capital, Inc. (Broker): Okay. And, Rhodri, when we look at the earnings accretion stemming from acquisitions, you mentioned that an exit run rate of $0.13 in EPS pick up. How should we look at the earnings accretion like for fiscal 2017 and 2018, is it something like a one-third, two-third ratio back-loaded for 2018? And what are some of the key assumptions behind those numbers? Thanks.
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: Yeah, I mean, I think if you look at the accretion, as we said we'll see an exit run rate in 2018 of $0.13, as that you'll see that coming through in 2017 and as we move into 2018. I would say that probably we're looking at something like one-third to half in 2017 and then we move up in 2018. And I think the – as far as the drivers, as Glenn said, I think we feel very good about these acquisitions. We feel very good about integrating Peds; very definitely it's straightforward, fit very nicely into our organization. And we look at Alstyle. Alstyle, we continue to be very excited about because of all of the different positives from that transaction and not only on the front-end, but on the manufacturing side. We talked earlier about sales into Latin America, Southern America, in Mexico. And so, there's all these drivers that will be coming through as we drive that EPS accretion.
Glenn J. Chamandy - President, Chief Executive Officer & Director: And maybe one last point is the accretion that we put forward as we tapered base it on the sales side. So, for example, like, in Alstyle, breaking into Mexico retail, going into some of these other markets, I mean we didn't put that into our modeling in terms of the accretion. That would be, obviously, an upside to anything that we would get in the future.
Anthony Zicha - Scotia Capital, Inc. (Broker): Okay. Well, thank you, gentlemen.
Operator: And our next question comes from David Glick from Buckingham Research. Please go ahead.
David J. Glick - The Buckingham Research Group, Inc.: Thank you. I just had a follow-up on your Branded Apparel growth in the second half. Could you parse out for us, it looks like it's about to hit your plan of about $90 million increase versus last year, could you walk us through how much of that increase is driven by new programs by the acquisition and by organic growth and I guess there's maybe a small slightly offsetting private label impact, but if you could help us understand really what the underlying core growth assumptions are that would be helpful? Thanks.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, just maybe I'll start off and Rhod will finish those. So, like, what we said in the beginning of year is that new program wins for 2016 were roughly about $130 million, $70 million is flowing through in the full year of 2016 and a lot of that's obviously related in the back half. And we also had annual wins from 2015 that flow through for the full year more evenly split of around $60 million from 2015. And then we had obviously the impact of the negative private label of about $65 million. And then maybe just look at it and say that we tapered our sales expectations somewhat of the $10 million that we were a little short in Q2 and we had probably another $20 million in Q3 for both $30 million. That's maybe looking at it. And then the acquisition probably added about another $30 million on top of that.
David J. Glick - The Buckingham Research Group, Inc.: Okay. Great. Thank you very much. Appreciate that.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Okay.
Operator: And our next question comes from Brian Morrison from TD Securities. Please go ahead.
Brian Morrison - TD Securities, Inc.: Hi, good morning. I just had a housekeeping question for Rhod, just in terms of the receivable factoring that was a nice benefit to the free cash flow this quarter. I see in the notes that it expires within a year. I just want to – just sort of get an idea how active you plan on being with this program over this timeframe and getting an idea of additional cash availability you may have within your future leverage targets from this?
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: Yes, Brian, so I wouldn't focus too much on the expiry date of the program, and I think when you think about receivables, what we've been looking at really is making sure that we are very efficient in the way that we manage receivables. And the receivables that we're selling, as I said in my comments, are high quality receivables. It makes a lot more sense for basically to – for us not to be carrying those receivables because of the quality. And so we put in place a $100 million receivable program. We expect that to be in place on an ongoing basis going forward. And we are going to really focus on ensuring that we are very efficient, as to what is on our balance sheet, what we do carry and what we shouldn't, and high quality receivables like the types of receivables that we sold, we believe are best kept off our balance sheet.
Brian Morrison - TD Securities, Inc.: So this isn't going to be a couple hundred million dollars over the course of year?
Rhodri J. Harries - Executive Vice President, Chief Financial & Administrative Officer: Well, as I said, we put in place a $100 million facility. So I think you could use that as guidance.
Brian Morrison - TD Securities, Inc.: Thank you.
Operator: And our next question comes from Neil Linsdell from Industrial Alliance. Please go ahead.
Neil Anthony Linsdell - Industrial Alliance Securities: Yeah, thanks. Turning to the international markets, can you talk about the regions or the countries specifically where you are seeing the best traction? And can you specifically talk about the different product lines? I think there's a lot of SKUs that you could push into those markets that aren't currently exposed there.
Glenn J. Chamandy - President, Chief Executive Officer & Director: Yeah, exactly. Well, look, I would say that the overall market in terms of international and printwear is running plus 20% which is really what we expected. And it's really performing equally as good in all of the markets and that's really sort of, like – and each market doesn't necessarily is not as mature as another, so we have more SKUs in Europe than we do in obviously China. And as we continue to penetrate these markets, we have the opportunity to continue adding product like we did this year and that's what keeps driving our top-line sales, a combination of taking market share as well as introduction and developing our brands within these channels. So we introduced Comfort Colors, for example, in the U.K. this year; we didn't roll it out everywhere because we didn't have capacity to do it. But that's a good example of how we're continuing to grow our overall international volume. So, we have a lot of runway here still, it's just a question of development in certain cases as well. So, but we are very excited.
Neil Anthony Linsdell - Industrial Alliance Securities: Are there a lot of partnerships you're still looking to make with the distributors to be able to get that penetration?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, it depends, like, in Europe, we really have full distribution. So it's just a question of adding product categories in those markets. And obviously in China, we're continuing to grow. It's really in its beginning stages. It's actually our third largest market to-date. But there is definitely room for growth. I mean, it's just a huge market, right? So we have limited distribution and we have limited product offering and it's our third largest market. So, we'll just continue to evaluate and it will continue to evolve as we go forward.
Neil Anthony Linsdell - Industrial Alliance Securities: Okay. And then just tied into that, could you talk about the expansion that you previously indicated that you're looking at in Bangladesh?
Glenn J. Chamandy - President, Chief Executive Officer & Director: Well, we expanded in Bangladesh; I mean that's going well. It's part of our CapEx for this year. We're adding pretty good amounts of capacity there and which will really support mainly our Asian business and some of our European business. But, primarily, our first focus for Bangladesh is to support Asia and then Europe will support the balance of that capacity, it will either come into Europe or service Europe from Honduras, we have choice there. So it's going well and it's on plan.
Neil Anthony Linsdell - Industrial Alliance Securities: Okay. Thank you.
Operator: Thank you. This concludes all the time we have for today. I'll now turn the call back to Sophie Argiriou for concluding remarks.
Sophie Argiriou - Vice President-Investor Communications: Once again, thank you all for joining us and we look forward to speaking to you soon. Thank you. And have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's call. Thank you for participating. And you may now disconnect.